Unidentified Company Representative: [Abrupt Start]…AM Eastern Time on April 18, 2019, in Omaha, Nebraska. This presentation and the accompanying materials include statements that contain estimates, projections or expectations regarding the company's financial results and operations and the future economic conditions. These statements are forward-looking statements bind with the federal securities laws. Forward-looking statements are subject to risks and uncertainties that can cause actual performance or results to differ materially from those expressed in the statements. Materials accompanying this presentation include more detailed information regarding forward-looking information and these risks and uncertainties. In addition, please refer to the company’s website and SEC filings for additional information about our risk factors.
Operator: Greetings, and welcome to the Union Pacific First Quarter 2019 Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded and the slides for today's presentation are available on Union Pacific's website. It is now my pleasure to introduce your host Mr. Lance Fritz, Chairman, President and CEO for Union Pacific. Thank you, Mr. Fritz, you may begin.
Lance Fritz: Thank you, Rob, and good morning, everybody. And welcome to Union Pacific's first quarter earnings conference call. With me today in Omaha are Kenny Rocker, Executive Vice President of Marketing and Sales; Jim Vena, Chief Operating Officer; and Rob Knight, Chief Financial Officer. This morning, Union Pacific is reporting record 2019 first quarter net income of $1.4 billion or $1.93 per share. This represents an increase of 6% in net income and 15% in earnings per share compared to 2018. Total volume decreased 2% in the quarter compared to last year. Quarterly operating ratio came in at 63.6%, a 1 point improvement compared to the first quarter of 2018. Severe winter weather and flooding across our network adversely impacted volumes and added incremental operating costs in the quarter. In spite of these headwinds, we still achieved year-over-year margin improvement as a result of our G55 and Zero and Unified Plan 2020 efforts. I am extremely proud of the men and women of Union Pacific and applaud their heroic efforts to safely restore our rail network. Our ability to quickly recover operations after severing the east-west artery of our network is unprecedented. I also want to thank our customers for working with us during these historic weather challenges. With these incidents behind us, our operating performance is rapidly improving, enabling us to provide a safe, reliable, and efficient service product for our customers. We've largely completed our initial transportation plan changes associated with Unified Plan 2020 and well ahead of schedule. But these changes are really just a foundation for the great opportunities we see going forward like our terminal rationalization initiative that Jim will touch in later. With that, I'll turn it over to Kenny to provide more details on our results.
Kenny Rocker: Thank you, Lance, and good morning. For the first quarter, our volume was down 2%, largely driven by weather related hurdles. Volume decline in our energy and ag business groups, with a partial offset in industrial and the premium. However, we still generated positive net core pricing of 2.75% in the quarter. Freight revenue was down 2%, driven by a decrease in volume as average revenue per car was essentially flat. Let's take a closer look at the performance of each business group. Starting with Ag Products, revenue for the quarter was down 3% on a 7% decrease in volume and a 5% improvement in average revenue per car. Grain carloads were down 7%, driven by reduced grain exports to China. This was partially offset by strength in feed grain shipments to our southern region. Volume for grain products was down 6%, predominantly due to weather-related challenges impacting soybean and ethanol shipments. Partially offsetting these declines was the same demand for biofuels and other related products. And lastly, food and beverage volumes were down 10% driven by a mix of weather-related impact, role [ph] reproduction changes, and the foreign policy effects on dry foods and export proteins. Moving on to Energy. Revenue was down 16%, as volume declined 15%, coupled with a 2% decrease in average revenue per car. Coal and coke volume was down 14%, driven by ongoing headwind of retirements and contract changes as well as fewer shipments from the Powder River Basin due to the historic Nebraska flooding in March. Sand carloads were down 45%, largely due to the impact of local sand within the Permian Basin. However, on a positive note, favorable crude oil price spreads drove an increase in crude oil shipments, which was the primary driver for the 18% increase in petroleum, LPG, and renewable carloads for the quarter. Industrial revenue was up 5% on a 4% increase in volume and a 1% improvement in average revenue per car during the quarter. Construction carloads grew 12%, primarily driven by increased market demand and favorable weather conditions in the South for rock shipments. Plastics volume was up 8% due to higher production. In addition, metals volume increased by 6%, due to the continued strength in the energy, construction and manufacturing markets. Turning to premium. Revenue for the quarter was up 3% with a 2% increase in volume, while average revenue per car remained flat. Domestic intermodal volume declined 5% during the quarter, as severe weather negatively impacted service and intermodal terminal operations. Additionally, truck capacity and more competitive truck rates provided fewer opportunities for spot over-the-road conversions. Auto parts volume was negatively impacted by North American auto production. International intermodal volume was up 15% in the first quarter, driven by strong volume from the tariff pull ahead earlier in the quarter, coupled with new business wins. And finally, finished vehicle shipments declined 3%, as first quarter U.S. auto sales were down approximately 3% from 2018. While light truck and SUV sales were actually up, the offset was not enough to overcome the decrease in car sales. In addition, weather impacted fluidity, creating higher inventory and reduced shipments. Looking forward to the rest of 2019. For Ag Products, we anticipate continued strength in bio shipments due to the increase in market demand for renewable fuels, which will offset the headwinds in the ethanol marketplace. In addition, we expect stronger beer shipments, along with long-term penetration growth across multiple segments of our food and refrigerated business. Furthermore, we expect uncertainty to persist in the grain market due to the tariff -- foreign tariffs. For Energy, we expect favorable crude oil price spreads to drive positive results for petroleum products. Local sand supply will continue to negatively impact sand volume. We also expect coal to experience continued headwinds throughout 2019. And as always with coal, weather conditions will be a key factor for demand. For industrial, we anticipate an increase in plastic shipments, driven largely by plant expansions coming on line later this year. In addition, we expect continued strength in industrial production, which drives growth in several commodities under this business segment. For premium, domestic intermodal volume could be impacted by a softer truck market in 2019, which may limit the opportunities for over-to-road truck conversion. However, longer-term fundamentals still provide a bullish outlook for over-the-road conversions. The U.S. light vehicle sales forecast for 2019 is 16.8 million units, down about 2% from 2018. Consumer preference for SUVs over sedans will continue to create some opportunity. We will continue to watch the OEMs as they implement their rationalization plans to their production plants. And finally, for our international intermodal business, we expect volumes to normalize back to seasonal levels. As it relates to international trade, there still remains uncertainty and we will continue to watch the U.S. economy, which could also present headwinds as 2019 progresses. So before I hand this off to Jim, I want to give a shout out to the operating and engineering teams for their tireless effort to get our network back in service from the historic weather events that we've encountered over the past several weeks. Both our commercial and operating teams worked closely together to minimize our impact on our customers, and thanks to our customers for being patient and understanding, while we worked to restore service back as quickly and as safely as possible. And with that I'll now turn it over to Jim.
Jim Vena: Okay. Thanks, Kenny, and good morning, everyone. Let's turn to slide 11. As you heard from Lance and Kenny, our operations were challenged during the first quarter by a series of significant weather events. Heavy snowfall and harsh winter conditions in the Midwest and Pacific Northwest were followed by widespread flooding that washed out our east-west main line in Nebraska for 13 days. In addition, our ability to reroute the 50 trains per days that normally travel in this corridor was limited due to the widespread nature of the flooding. As a result, fluidity and asset utilization were impacted as we deployed additional people and equipment to operate the railroad. We took some bold actions this time around to help us restore operations. And while impactful to the business in the short term, these actions allowed us to quickly return to normal operations. Our terminals are current and we are moving traffic as presented. The new operating mindset of Unified Plan 2020 is clearly working and I'm extremely proud of our employees who worked safely and efficiently to restore operations. Turning to slide 12. I'd like to now take a minute to update you on the six key performance indicators I am focusing the team on going forward. Despite the weather, nearly all of our metrics improved year-over-year. This is a testament to the work we are doing as part of Unified Plan 2020 to improve network efficiency and service reliability. Our continued focus on asset utilization and minimizing car classifications led to a 19% improvement in freight car terminal dwell and a 7% improvement in freight car velocity compared to the first quarter of 2018. Train speed for the first quarter decreased 6% to 23.3 miles per hour as network disruptions impacted fluidity. Turning to slide 13. We improved locomotive productivity 6% versus last year as efforts to use the fleet more efficiently enabled us to park units. As of March 31st, we had approximately 1,900 locomotives stored. And even with a 4% decrease in the total workforce, our productivity was down 2% year-over-year as daily car miles declined 6% in the quarter. In addition to improving productivity, delivering a great service product is an equal goal of the team. Car trip plan compliance improved two points versus 2018 as customers benefited from increased freight car velocity and lower dwell. And we expect our customers to continue seeing a more reliable service product going forward. I know many of you watch our weekly dwell and velocity numbers and how we already noticed our improvement over the last few weeks. Turning to slide 14. The last time I spoke with you I had only been on the job about 10 days. Since then I've spent a lot of time in the field getting familiar with our network and evaluating Unified Plan 2020. As Lance mentioned, we completed our initial transportation plan changes and they are delivering good results. But I will tell you there's a lot of opportunity ahead of us to further improve asset utilization and network efficiency. Slide 14 highlights some of the recent network changes including our initial terminal rationalization results. We stopped pumping cars at Hinkle and Pine Bluff and curtailed yard operations in Salt Lake City, the Kansas City complex and Butler Yard in Wisconsin to name a few. And we continue to look for additional rationalization opportunities. For example, we have multiple intermodal facilities in the Chicago complex, which provides an opportunity to reduce operational complexity while improving our service. We also decided to pause construction of Brazos Yard. The remaining capital dollars planned for Brazos in 2019 will be reallocated to siding extension on the Sunset Corridor and a block swap yard in Santa Teresa, which will add to our network flexibility. These projects directly support our productivity initiatives, which are off to a great start as illustrated by the graph on the right. By putting more product on fewer trains, we have increased train length 7% the last couple of months and I expect to see continued improvement in this measure as the year progresses. Turning to Slide 15 and to wrap up. It's been a very busy first 90 days for me at Union Pacific. I'm having a lot of fun, and I'm excited about what's ahead. Our network showed tremendous resiliency in the face of significant weather during the quarter and we're already seeing it in our key operating metrics. As we move forward improving safety, efficiency and service reliability across our rail network, customers will benefit from an end-to-end service product that enables greater supply chain efficiency. With that, I'll turn it over to Rob.
Rob Knight: Thanks Jim and good morning. Before I jump into the results, I thought I would level set everyone on some of the ins and outs that we experienced in the quarter. Unprecedented weather events negatively impacted volume growth while driving additional operating expenses. These weather challenges resulted in a 1.6 point negative impact to our operating ratio and $0.15 earnings per share compared to the first quarter of 2018, which I'll detail more in a minute. You also saw the 8-K that we filed in March where we recognized a $42 million payroll tax refund along with $27 million of associated interest income. This refund had a 0.8 point favorable impact on the operating ratio and a $0.07 EPS tailwind in the quarter compared to last year. The combined impact of lower fuel price and our fuel surcharge lag had a favorable impact for the quarter of 0.9 points on our operating ratio and $0.06 of EPS compared to 2018. Taken together, the positives in the quarter from fuel and the tax refund were essentially offset by the negative weather impact. The good news is that despite the weather challenges, our G55 and Zero and our Unified Plan 2020 efforts drove core operating margin improvement of about one point or $0.27 of EPS compared to the first quarter last year. To give you a little more detail on the weather impact in the quarter, the combination of the winter storms in February and flooding in March were the primary drivers of a 2% year-over-year volume decline in the quarter or roughly $150 million. Although our car loadings are starting to rebound, we do not expect to make up much of this lost revenue with the possible exception of some opportunities in coal and grain. We also incurred around $40 million of weather related costs in the quarter primarily in the compensation and benefits and the purchased services and materials cost categories. Given that we still have a couple of minor outages today, a small amount of cost will likely carry over into the second quarter. And finally, capital expenditures associated with the flooding are estimated to be around $30 million. And now let's recap our first quarter results. Operating revenue was $5.4 billion in the quarter, down 2% versus last year. The primary driver was a 2% decrease in volume. Operating expense totaled $3.4 billion, down 3% from 2018. Operating income totaled $2 billion, a 1% increase from last year. Below the line, other income was $77 million, an increase of $119 million compared to last year. The increase was driven by interest income of $27 million associated with the previously mentioned payroll tax refund and a favorable year-over-year comparison. And as a reminder, first quarter of last year 2018 those results included a bond redemption cost of $85 million resulting in a favorable quarterly comparison. Interest expense of $247 million was up 33% compared to the previous year. This reflects the impact of higher total debt balance, partially offset by a lower effective interest rate. Income tax expense was flat at $399 million. Our effective tax rate for the first quarter was 22.3%. For the full year, we now expect our annual effective tax rate to be slightly north of 23%. This is primarily driven by the benefits related to stock option exercises and a recent tax legislation in Arkansas to decrease its corporate income tax rate. And as a result of the legislation, we will decrease our deferred tax expense by $21 million in the second quarter of 2019. Net income totaled $1.4 billion; up 6% versus last year while the outstanding share balance decreased 8% as a result of our continued share repurchase activity. As I noted at the start, these results combined to produce a first quarter record earnings per share of $1.93 and a one point year-over-year improvement in the operating ratio to 63.6%. Freight revenue of $5 billion was down 2% versus last year. Fuel surcharge revenue totaled $398 million, up $45 million when compared to 2018. Business mix had a meaningful impact of negative four points on the freight revenue for the first quarter. Decreased sand and agricultural products volumes along with an increase in lower average revenue per car intermodal shipments drove the negative change in mix. Core price was 2.75% in the first quarter, which represents one quarter of a point sequential improvement compared to the fourth quarter of 2018. Slide 20 provides a summary of our operating expenses for the quarter. Compensation and benefits expense decreased 5% to $1.2 billion versus 2018. The decrease was primarily driven by the payroll tax refund that I mentioned earlier and headcount reductions, partially offset by wage inflation, employee severance costs and weather related expenses. Total workforce levels were down 4% in the first quarter versus last year. Productivity initiatives and lower volumes enabled a 2% decrease in our TE&Y workforce while our management, engineering, mechanical workforces together declined 6%. Fuel expense totaled $531 million, down 10% compared to last year. Lower diesel fuel prices and gallons consumed were the primary drivers of the decrease in quarterly fuel expense. Compared to the first quarter of last year, our average fuel price decreased 3% to $2.07 per gallon. Our fuel consumption rate increased about 1% during the quarter, primarily due to mix and weather impact. Purchased services and materials expense, was down 4% compared to the first quarter of 2018, at $576 million. The primary drivers of the decrease in the quarter were reduced mechanical repair costs and less contract services and materials, partially offset by weather and derailment related expenses. Turning to slide 21. Depreciation expense was $549 million, up 1% compared to 2018. For the full year 2019, we estimate that depreciation expense will increase about 2%. Moving to equipment and other rents. This expense totaled $258 million in the quarter, which was down 3% when compared to 2018. The decrease was primarily driven by lower equipment lease expense and less volume-related costs, partially offset by weather-related challenges. Other expenses came in at $305 million, an increase of 15% versus last year. Higher casualty costs including destroyed equipment and freight loss and damage were the primary drivers of this increase. For the full year 2019, we expect other expense to be up in the 5% to 10% range compared to 2018. Productivity savings yielded from our G55 and Zero initiatives and the Unified Plan 2020 totaled $120 million during the quarter, which was partially offset by additional costs associated with the weather and derailments. As a result, net productivity for the quarter was approximately $60 million. With these incidents behind us, we are still confident in our ability to deliver at least $500 million of productivity in 2019. Looking at our cash flow, cash from operations for the first quarter totaled $2 billion, up about 3% when compared to last year, due primarily to higher net income. Free cash flow before dividends totaled $1.2 billion, resulting in free cash flow conversion rate equal to 84% of net income for the first quarter. Taking a look at adjusted debt levels, the all-in adjusted debt balance totaled $27.6 billion at the end of the first quarter, up $2.5 billion since year end 2018. This includes, the $3 billion debt offering that we completed in February partially offset by repayment of debt maturities. We finished the first quarter with an adjusted debt-to-EBITDA ratio of 2.6 times, up from the 2.3 times that we reported at year-end 2018. And as we have previously mentioned, our target for debt-to-EBITDA is up to 2.7 times. Dividend payments for the first quarter totaled $626 million, up from $568 million in 2018. During the first quarter, we repurchased 18.1 million shares at a cost of $3.5 billion. This total includes the initial 11.8 million shares that we received as part of a $2.5 billion accelerated share repurchase program that we initiated in February of 2019. We expect to receive additional shares under the terms of the ASR, with final settlement to be completed prior to the end of the third quarter of this year. Between dividend payments and share repurchases, we returned $4.1 billion to our shareholders in the first quarter. Looking ahead to the remainder of the year, our guidance for 2019 remains unchanged, which is a testament to our belief that the weather challenges of the first quarter are behind us. We expect volumes for the full year to increase in the low single-digit range. And as Kenny mentioned earlier, we should see strength in a number of business categories, along with some uncertainty in others. Our pricing strategy remains unchanged, as we continue to price our service product to the value that it represents in the marketplace, while ensuring that it generates an appropriate return. We are confident the dollars we yield from our pricing initiatives will again well exceed our rail inflation costs in 2019. Although, our planned capital spending is shifting somewhat as a result of the reallocation that Jim walked through, the weather-related capital that I discussed, we will expect capital expenditures to still be around that $3.2 billion range for 2019. Importantly, we remain confident in our ability to achieve a sub-61% operating ratio in 2019 on a full year basis, and we still expect to be below 60% by 2020. And our commitment to reaching a 55% operating ratio beyond 2020 has never been stronger. With that, I'll turn it back over to Lance.
Lance Fritz: Thank you, Rob. As discussed today, we delivered record first quarter financial results driven by improved operating performance, while dealing with significant weather challenges. Unified Plan 2020 created a more resilient and robust network, allowing us to quickly return to normal operations. For the remainder of 2019, we look to build on the momentum we had prior to the weather challenges and provide a consistent reliable service product for our customers, while at the same time improving our operating efficiency. We remain focused on increasing shareholder returns by appropriately investing capital into the railroad and returning excess cash to shareholders through dividends and share repurchases. With that, let's open-up the line for your questions.
Operator: Thank you. We will now be conducting a question-and-answer session [Operator Instructions] Thank you. And our first question comes from Brian Ossenbeck of JPMorgan.
Brian Ossenbeck: Hey, good morning. Thanks for taking my questions. So Jim, now that you've been here for more than 10 days, it looks like you've been pretty busy going back to slide 14 with the terminal rationalization and network changes. And I was just hoping if you can give us a bit more context as to what could come next, you have Chicago circled here, on the map. You've done what seems like a few hump yard closures. How many more, do you think you can close? How early in the process do you think you are when you look at redesigning service and then maybe making some of these terminal changes?
Jim Vena: Well, good morning, Brian. I appreciate the question. And I'll tell you I did not have my feet up on the desk, okay? So there's been a lot of very interesting – first of all, I wanted to make sure I understood how this network worked. It's very important to – that you don't make some big mistakes when you're out there trying to change a network. The last place I was at, I worked for 40 years. And after 40 years, you get a real good feel of the way the place is. So this is what I've found so far. And I don't like to put a guess about what I'm going to do. But I'll tell you I think we moved very quick. We got set back with the weather that we had in end of February and the floods that were unprecedented. In fact, I've been railroading for a long time, and I'm impressed with what the team was able to do to turn this thing around and get us back to normal operation very quickly. But – so what I'm looking at is real simple. It's – we're trying to take touch points out of the cars. We speed the cars up and you can see what we did first quarter. We rationalized the locomotives, so we don't have excess out there, and we parked a lot of locomotives and are able to handle the same traffic with substantially less. I think there's more opportunity there. We'll continue to do that. In the terminals, we have our eye on a number of terminals that make sense for us. We'll do it through this next quarter. And as we do, we'll do them cautiously. I want to make sure I don't disrupt the service too much to our customers. And slowly, but surely we'll work through this. We're not – when I'm saying slowly, it doesn't mean that, I'm going to still be looking at the terminals. So, I've got a plan written down of which ones we're going to go after next, and we'll announce them as we do them. Hope, I answered your question, Brian.
Brian Ossenbeck: Yeah. Thanks, Jim. Just as a follow-up and I don't know, if I'm reading too much into this but on the KPIs, which I think are really quite helpful, we don't have the goals there anymore at least from what we had before. So, I just wanted to see if these are still the ones you're thinking of moving forward, if the goals are under consideration. Anything else you can provide around that would be helpful? Thanks.
Jim Vena: Brian, listen, year-end goals are important when you're trying to do some budgeting. But for me, this is the way I look at it. So let's take a look at – look more to productivity up 6%. I was going to blow by the goal real early in the year. So do we want to stop? I don't think so. The way I look at it is there's a lot more left in the locomotive productivity. I'm going to see how fast we can get to the best number that we can the least amount of locomotives to work. I think there's still some action there, and we would have blown by that end goal before the middle of summer. So for me, it's how fast what do we need to do, do it in a smart way, and we'll blow by all the goals we had setup for the end of the year.
Lance Fritz: Yeah. Let – Brian, this is Lance. So, we have not changed any of those goals that we had showed in the KPIs that we had up in the January analyst call. It's just at this point, it looks like there's upside and we're just going to move through to the upside.
Brian Ossenbeck: Okay. Thanks guys. I appreciate it.
Operator: Next question is from the line of Scott Group with Wolfe Research. Please proceed with your question.
Scott Group: Hey, thanks. Good morning guys.
Lance Fritz: Good morning.
Scott Group: So Jim I was wondering if you can help. When we look at the service issues, is there a way you can isolate some of the weather impacts versus maybe some of the natural growing pains that we typically see with PSR? Do you think you're also having some of those? And then maybe more specifically on headcount, can you give us any sort of directional color on how you think about headcount next quarter for the year? I think you had a 10% labor productivity target. Is that also one of the KPIs you think you could to use your term blow by?
Jim Vena: Maybe that wasn't the way best way to describe it right, Scott? So let me be more tempered. So, on the labor productivity, we see labor continuing to drop. And it'll drop through the year as we become more efficient in handling our product. So I'm not concerned about it that we don't see adding. We see dropping and will continue to drop on labor productivity. The weather, what was interesting about the weather was just the magnitude of the place. So if you think about it, we talked about the 50 trains a day that we run on our east-west corridor. But it also went down towards Kansas City. We lost sub-divisions. And we still have one of our lines and impact on a couple of others where we're cut off rebuilding a bridge and we're still working around. So there's still some impact today. But nice part is, is we recovered quickly. PSR or when you change things, if I wanted to, I guess, I could have come on and parked 500 locomotives first day and that would have impacted. It takes a while to grow into that. But we're doing it a little smarter. We're down the number that we need to be, but I didn't do it first day. We're doing it strategically. You shut down a hump yard like when Pine Bluff got -- was shut down as a hump operation, it does take a while. And if I would have done three or four of them at the same time, we would have impacted more the network. So we're being smart about it. So that's what we're trying to do Scott.
Scott Group: Okay. That's helpful. And then just maybe secondly for Kenny. The last couple quarters you guys have been talking about the competitive pricing dynamic with BN, more the same. Is anything changing there? And big picture are you seeing any changes in behavior from BN?
Kenny Rocker: Yes, I don't want to get in commenting specifically about another carrier. But I'll tell you the competitive marketplace is still very strong. There's still a lot of pressure. There's a lot of pressure on the trucking side. I feel like our commercial team did an excellent job of pricing to the market. I also feel like as Jim and the operating folks get us back to the reliable service that we saw before the flood and the snow that that's an opportunity for us to price to the value.
Scott Group: Okay. Thank you guys.
Operator: The next question is from the line of Ari Rosa with Bank of America. Please proceed with your question.
Ken Hoexter: Hey. It's Ken Hoexter. Lance, Jim and Kenny great job showing the resilience of the network. Just Jim on the 1,900 locomotives you parked, is there a need for those to keep around for growth? Or do you go take a impairment charge on those? Can you give some thoughts on the future of your locomotive fleet?
Jim Vena: I think both answers. We're going to keep some that make sense. They're good locomotives. And if we have some excess, we're going to return some, we're going to get rid of some, but we're working through that. But Rob maybe you have a…
Rob Knight: Yes. Yes, this is Rob. Yes. I mean we're going to work through that as Jim says and we'll look at it and uncover any opportunity we think we have for our locomotives as appropriate, but there's no imminent impairment charge plan here.
Ken Hoexter: Okay. And then if I can just get a follow-up on your normal sequential operating ratio improvement. Can you give thoughts on the cadence as we move through the rest of the year Rob just given the kind of some of the charges in the quarter and maybe what -- if we look at normal sequential, what you've done in the second quarter versus first, but then think about the weather? Just to try to understand your path to get to your full year targets and relationship to Jim's kind of commentary about maybe blowing by certain targets up to that point, but if you can still make up that target or if you -- there's still kind of the ability to beat those prior targets that would be helpful. Thanks Rob.
Rob Knight: Yes. Ken, I mean as you know the first quarter is generally a little bit higher operating ratio and that's traditionally true. There was a lot of ins and outs as we walked through in the first quarter. Fuel as an example was a tailwind in that we don't know exactly how that's going to play out through the balance of the year. But to answer your question without giving specific quarterly operating ratio guidance for us to get to our confident guidance of a sub 61% that obviously implies that we're expecting to make great progress, which we all feel really good about great progress from here on out for the balance of the year.
Ken Hoexter: All right. Appreciate the insights. Great job on the snapback stuff. Thank you.
Rob Knight: Thanks Ken.
Operator: Next question is from the line of Allison Landry with Credit Suisse. Please proceed with your question.
Allison Landry : Thanks. Good morning. I wanted to ask another one on the yards. So obviously you talked about the -- in addition to the two closures, can you talk about whether you have or you're expecting to convert any of the humps to flat switch? And then any sort of sense that you could give us in helping us to try to quantify the potential or improvement or maybe if you could tell us how much of the overall initiative is baked into the $500 million?
Lance Fritz: Okay. Rob, you want to start?
Rob Knight: Let me see, if I -- I'll take the second part of that question first. And that is without -- again without giving specific numbers, I would just tell you that it is a part. I mean, these initiatives that Jim is talking about and others are all going to be critical contributors to us achieving that $500 million plus of productivity this year. So without giving you a specific numbers, it is a part of that. And of course, as you've heard me say before, we're not going to stop at just the five -- if we get an opportunity to go to the plus, we're going to take advantage of that as these initiatives continue to play out this year.
Lance Fritz: And Allison, this is Lance. So Jim can add more technicolor. But as we've stopped humping in a place like Pine Bluff or Hinkle, we did not tear out the hump. And they do continue to switch cars. They flat switch cars right now that are meant to be there. We speak in terms of cars that are naturally meant to be in those yards. That's either because that's where they fit in the network for where they're trying to go or where they came from or they're literally local cars. So Jim you got anything else in that?
Jim Vena: Yes, listen, Allison. For me, I don't look at it as I need to shut a hump yard down. What I look at is, is how do I speed up the railcars? And as a team, how do we get more utilization of the railcars, better utilization of the locomotives, better utilization of the people? So you can see what we did in the first quarter even with the impact. Our train size jumped up 7%. That's key. That tells us that we're moving more railcars on the same number of trains, and you can do the math, what that does on people starts. You see an increase in locomotive productivity up 6% first quarter. And we will continue to look for opportunities. And I know there's opportunity there. So -- and we do that. We have less locomotives and it impacts the whole system on how we do it from mechanical engineering, we removed a number of trains. So we have started. So the terminals is a subset of what we're trying to do. And maybe I'm getting too long on this, but it's real important. I don't wake up in the morning, and say, I'm going to shut down another hump yard. If they can save on the touch points, if it speeds up the railcars and if it makes sense that it's a cheaper model to shut down the hump yards. That's why Hinkle went as a hump yard. That's why Pine Bluff has gone as a hump yard. And that's why Brazos we looked at and said, we don't need it right now with the mix of traffic that we have and the efficiency we can do with the terminals we have. That's the way I look at it. So hopefully, Allison I explained it to say, I'm not looking for the next one. Now let me finish this. Is there a next one? Yes, there is. But we'll announce it when we pull the trigger.
Allison Landry: Okay. That was really helpful. Thanks for that color. And then yesterday KCS was talking about the severe congestion issues that have plagued the Houston area. And I know historically, it's been probably an even bigger pain point for you guys, but I wanted to get your perspective on how PSR can help to improve fluidity there? And whether you think there could be an opportunity to scale back the elevated CapEx you've had to put in the region in the last several years? Thanks.
Lance Fritz : Yes, I'll start Allison. So Houston is a very complex terminal complex. It's got a number of different class 1s operating in a ton of industry with a lot of local service attached. So to your point, I mean, historically, it's been a -- it's one of the more difficult areas of the railroad to operate reliably and efficiently. Having said that, implementing Unified Plan 2020 down there has shown it makes a difference. We're providing more frequent local service. We're touching cars less frequently. And as a result, we're becoming more reliable in our service product. We're a big footprint in the area, but we're not the only one and we have rely on smooth coordination with the other railroads in the area which we work on every day and are getting a little bit better at every day. Jim?
Jim Vena: Allison what I can say is, is we are current and we're very fluid in Houston. There's a lot of traffic. There's multiple railroads that operate on each other's tracks and we've got to work close to make sure that we get all the traffic as I want us all to be successful. And it's nice that the other railroads are also looking at how they improve the efficiency of their operation. And I think we've got to work together to make sure that we've got a clean operation through Houston. But if you take a look at what we've been able to do, we've been able to increase the productivity and the number of cars put through in our Houston complex and we have to switch from all the customers and we'll continue to look for opportunities to make a much more fluid so we turn the cars quicker. Good number to look at is our terminal dwell which we were able to drop substantially in the first quarter from last year. You drop terminal dwell by 20% which started before I got here. So, I give a lot of credit to Tom Lischer and the whole operating group and the whole company. But at the end of it we drop that by 20% we're more fluid. So, I think we have a solution. We've all fairly current right now and we'll work with the rest of the parties as we move ahead to make it as fluid as any other place in the railroad.
Allison Landry: Okay. Thank you, guys.
Jim Vena: Thank you.
Operator: The next question is from the line of Amit Mehrotra with Deutsche Bank. Please proceed with your question.
Amit Mehrotra: Thanks operator. Hi everybody. Thanks for taking my question. Jim just a follow-up to the previous lines of questioning. Are there I guess any large quick payback types of projects that are happening today? Because there's not -- there's just not that many quarters left between now and the end of 2020 and the implied incrementals are quite heroic to get to the target in 2020. And it's obviously -- it gets incrementally harder every quarter we progress. So, I'm just wondering if we're going to see this breakout in operating results. I know the weather was an impact in the quarter. Or is this more like a 2020 event given the types of changes you're addressing? Or some of the changes that are being implemented maybe had quicker paybacks that we could see in the next two to -- one to two quarters? Thanks.
Jim Vena: Listen if we look at it we've said that we're going to be sub-61%. So, we've got everything in place to be able to beat sub-61% and we're going to deliver it. And there's a lot of projects that we have in operations and through the whole company. It's -- this is not just an operations delivered product this is an entire company delivering leadership from the whole company. So, I think the simple answer is we're going to deliver under 61% And I can't use that word about go buy it anymore, okay? But I'm very comfortable that we've got the right product in place operationally in the rest of the company to deliver that.
Rob Knight: Maybe if I can just chime in there. This is Rob. It is -- you obviously can tell from our results and our tone that we feel really, really good about the early innings of the implementation of the PSR the Unified Plan 2020 and G55 + 0 initiatives, et cetera in the face of the very big challenges that we faced in the first quarter with down volume. So, if you look at the balance of the year and our guidance is that for the full year volume will be on the positive side of ledger. So, we think we're in a great position to leverage not only the great work that Jim just walked through, but the added positive volume that we are projecting for the balance of the year. The combination of that is what gets us to that sub-61%.
Amit Mehrotra: Right. Okay, that makes sense. Thank you. And then just one follow-up maybe on the other side of that question. 60% OR -- 61% are under OR is well below what obviously CSX is reporting. At what point does Union Pacific's profitability targets I guess better reflect the structural advantages of the business especially from the length of haul perspective?
Lance Fritz: Yes. Amit so first things first we're focused on executing our current goals which is sub-61% this year, sub-60% next year. Of course we're not going to stop and pause there. And we've for quite some time said we think we're capable of a 55% and we think sometime after 2020 we are more confident than ever that we're capable of a 55%. So, without using anyone else's yardstick just looking at what we're capable of doing, we are very, very confident we're going to hit our near-term goals and then later we'll talk about other goals.
Amit Mehrotra: Any sense on when that 55% the timeframe -- I know you've been resisting on talking about it, but is it early next decade, mid-next decade, any better kind of refinement around what the time frame of that is?
Lance Fritz: Yes, Amit, let's get below 60% first and we'll talk about it.
Amit Mehrotra: Okay, I had to ask. Thanks guys. Appreciate it.
Operator: The next question comes from the line of Brandon Oglenski with Barclays. Please proceed with your question.
Brandon Oglenski: Hey good morning everyone. Thanks for taking my question. Kenny I guess I wanted to come back to this issue of inventory pull-forward because you guys mentioned that in your prepared remarks. Have you pulled your customer base and just thought about the idea that maybe we pull-forward a lot in 2018 early 2019 and we could see a prolonged dwell in intermodal demand throughout the summer?
Kenny Rocker: Yes, we've been talking to our customers and we do know that there's still some inventory out in the warehouses out on the West Coast. And I think the best thing is to let us get through April and into May and we'll get a little bit more clarity on that, but we are seeing some of that being worked off right now.
Brandon Oglenski: Okay. Appreciate that. And then Jim I want to come back to your prepared remarks as well because I think you mentioned that you stopped capital work at the Brazos Yard, which if I'm not mistaken I think was a key tenant of the prior operating plant. So, can you talk about where you see maybe more opportunities on the capital side of the budget? And I think Lance in the past you talked about capacity and the network being around 190,000 or 195,000 units per week. Is that still the same or should we be thinking we're unlocking a lot of potential capacity in the network here?
Lance Fritz: I'll start on capacity and I think you've got it right at the tail end in part and that is we are unlocking terminal capacity predominantly through Unified Plan 2020 and the implementation of PSR. Having said that we've always talked about capital is put where we find constraints that keep us from executing the plan. And so there are some targeted capital areas remaining and there probably always will be where mixed shift or volume shift or how we're running a railroad tells us we can get real benefit with a rightful shot of capital. I'll also mention at Brazos, so for a little while now, we've been talking about the implementation of UP 2020 could very well either change the way we use Brazos or change its timing. And by unlocking capacity and touching cars fewer times around Brazos, we found that we have an opportunity to pause that capital that we don't need to increment yet in the network. So, Jim do you want to talk about where capital might be spent?
Jim Vena: Sure. One example is we have a network and we're blessed that we have a lot of capacity in areas where we can run trains to where other people have been running them and where we've been running them. So, that being able to tie in we're going to spend some money that some of the money that we reallocated from Brazos to put long sidings in between L.A. and El Paso, so we can continue to run trains at the length that we the capability that we have. We started with a few trains that helped us on our length but we think that we hardened that capability will be later on this year. Third quarter we'll be able to really bump-up and safe train starts and run trains at the size that we have the capability of operating. So, we're smart that not only -- I don't want to be short-term focused. I think we're building this railroad for the long-term and invest in the right places that helps us to be able to keep this railroad running efficiently two, three, four, five years down the road. Rob anything on the capital?
Rob Knight: I think you covered it.
Brandon Oglenski: Thank you.
Operator: The next question is from the line of Tom Wadewitz with UBS. Please proceed with your question.
Tom Wadewitz: Yes, good morning. I wanted to ask one about the train schedule. I think that UP in September announced they were moving to PSR approach and develop the three corridors and plans to rolling those out. Jim you didn't start till I think mid-January or so. So, with the framework that a big part of PSR or a big component is reviewing and changing the schedules, it seems like a lot of that was done before you got there. So, is it possible that you have kind of another round of reviewing the schedules resetting? Or how should we look at it given a lot of the plan seem to be in place before you even got there?
Jim Vena: I think the team -- Tom, great question. The team did a great job of speeding up the railcars getting rid of some touches. I think the next step is we get to refine that. We -- when I look at the network we have trains that are operating that we have opportunities to be able to speed them up make -- to be able to start less trains so that's the next piece that we're doing. So, great foundation built on by the entire team before I got here on January 14 and we're building on that, but lots of opportunity from what I see in how we operate our trains and yards.
Lance Fritz: And Tom, let's also be clear that Unified Plan 2020 when implemented was perceived and that's one of the reasons we brought Jim on. It's perceived to be an evergreen process. So, we -- getting Jim's perspective, his fresh eyes on that first round of implementation, we're going to find more and we'll continue to find more year after year after year. So, it's meant to be an evergreen process that continually gets fine tuned.
Kenny Rocker: And Tom, the other thing I'll add is that Jim and I our commercial teams are working together, so our envision of a more reliable product. And again, we think that will help us grow in the marketplace.
Tom Wadewitz: But just to be clear on that. So, do you think there is another significant review of this schedule, or is it more kind of tweaking things?
Lance Fritz: No, it's still significant.
Tom Wadewitz: It's still significant? Okay. Appreciate that. And a quick one for you Kenny, just on the coal and grain side, I mean, I guess, when you have the corridors is there a shot you prioritize trains typically. I would think of coal and grain being lower priority than merchandise and intermodal. So, I mean, is there a pent-up demand for coal and grain where you have probably some -- the network starts running you can handle some more volume in those areas? Is that a reasonable thing to consider in the near-term that you might have some pent-up coal and grains to handle?
Kenny Rocker: Well, first of all, I debate you on the fact. We really appreciate the coal and the Ag business. So, I need to clarify that. It's a small upside to that and we're working with the receivers and the shippers on both sides of both the coal and the Ag side.
Tom Wadewitz: Okay. Fair enough. Thank you for the time.
Lance Fritz: Thank you.
Operator: The next question is from the line of Justin Long with Stephens. Please proceed with your question.
Justin Long: Thanks and good morning. So, to start, I just wanted to clarify on the productivity target. Is the $500 million plus guidance a growth productivity number? And if so, could you share your outlook for net productivity this year? It sounds like the $60 million of operational challenges we saw in the first quarter isn't going to zero in the second quarter, but it should be down significantly. So, I just wanted to get some more color around that.
Rob Knight: Yeah, Justin, this is Rob. That's a great question. Our $500 million plus productivity guidance goal is a net. So, we achieved $60 million in the first quarter to your point. And yes, there will be some lingering carryover weather related cost in the second quarter, but significantly less than what we experienced in the first quarter. But that does imply for us to get $500 million plus for the full year when you consider we have only $60 million of it which was great work considering the conditions that shows our confidence and our ability to continue to make progress as the year progresses.
Justin Long: Okay. Great. That's helpful. And then, going back to the terminal rationalization and network changes, are you expecting this to generate any gains on sale as you look out the next couple of years? And if so, were any gains getting baked into that 2019 or 2020 OR guidance?
Lance Fritz: Hey, Justin, no gains other than normal annual gains which we talk about all the time. We always have our real estate team looking for opportunity to monetize assets, we no longer need. That's a normal flow of business. There's nothing unusual that has been baked into our guidance for 2019 and 2020. And we'll just keep evaluating our property as it makes sense.
Rob Knight: If I can just make one other comment, just a clarification. At Union Pacific, we do not count real estate sales in our operating ratio calculation.
Justin Long: Okay. That’s good to clarify. Appreciate the time.
Operator: The next question is from the line of Chris Wetherbee with Citi. Please proceed with your question.
Chris Wetherbee: Thanks. Good morning. Kenny, maybe a question on the volume outlook. Just is my understanding what we've seen so far in the first quarter, obviously, there's some weather disruptions and some softer numbers and then you maintained the outlook for the full year. Obviously, there's been some profound of activity, inventories maybe a bit on the high side. It sounds like we're working through that now. Is there something else that you're seeing that makes you a little bit more confident that we can hit that? There's obviously an implied sort of acceleration as you move into 2Q, 3Q and 4Q. It seems like maybe there's still some lingering impacts on the network. I just wanted to get a sense of sort of how you're looking at it? And what you're hearing from the customers about sort of the demand environment to get you comfortable and certainly a little bit of that acceleration as we go through the rest of the year?
Kenny Rocker: So, yeah, just I want to reiterate the low single digit volume forecast for the year. And yeah, we are talking to our customers. The economy looks stable right now, and there is sort of a mixed bag with it. I'll tell you that there are commodities like our metals business. I talked a little bit about our petroleum. We talked for a while about plastics. Industrial production is still on the positive side even though it was revised downward a little bit and the uncertainty is around international trade. On one end you've got the Ag business that we export out that we've talked about. And then the other piece that we're looking at is, will there be an impact on the trade coming from Asia? And how will that demand look. But overall, we feel like it's a pretty stable economy for us to grow in.
Chris Wetherbee: Okay. That's helpful. Appreciate it. And then you touched on this earlier in the call. Just on the headcount and how we think about maybe that flowing out over the course of this year. Obviously, there's a big sequential step down in the first quarter and presumably volumes come back in a better way as the rest of the year progresses. Any sort of incremental color you can help us with in terms of how we should be thinking about that as 2019 progresses. Can you make further progress sequentially from where we are as we see some natural sort of variation of volume going forward?
Rob Knight: Hey, Chris, this is Rob. I mean, you know, we're not going to give a specific headcount number. But when you look at our confidence coming out of the first quarter where our headcount was down a total of four with some challenges. Obviously, that impacted that number and our commitment of a $500 million plus productivity number, which is going to be a -- a big chunk of that is going to come from the labor line. It does imply that we are confident in our ability to continue to drive headcount down and hopefully with positive volume that is our plan. So, the combination of that is powerful and that's what gets to the sub-61%.
Chris Wetherbee: Okay. Thanks very much. Appreciate it.
Rob Knight: Yeah.
Operator: The next question comes from the line of Ravi Shankar with Morgan Stanley. Please proceed with your question.
Ravi Shanker: Thanks. Good morning everyone. Just a follow-up on the planned CapEx shift. You guys have always been adamant that you guys still need to pursue growth while implementing PSR. I think, there's been some skepticism about whether that's possible or not. But kind of just given some of the CapEx shifts in Brazos and such, is there like a slight shift in that plan?
Lance Fritz: No. So, Ravi, two things. One is, we continue to view capital the same way we always have viewed capital, which is it's got to generate an attractive return. We'll put it where we need it. We plan capital from the bottom up, but we still think we're going to be at or below -- I think below is our guidance, 15% of revenue. Where that capital is going is shifting around as Unified Plan shifts traffic and puts emphasis on some areas of the network where maybe it hadn't been before. The second part of your question, which was can you grow when you're implementing a PSR railroad? And we think absolutely you can. We think the end game is a consistent reliable service. Our customers want that. As we demonstrate we delivered that. We believe there's upside to the volume that is available to us. So, we think growth is achievable.
Ravi Shanker: Got it. And I also, I believe you guys filed with the STB for trackage rights agreement with Norfolk Southern. Can you give us a little more color there? Is that just temporary thing to get past the weather issues, or is it more of a longer term solution?
Lance Fritz: Ravi, I'm not sure exactly what you're referencing there. I will say that we have coordinated with other railroads through these weather events and are still doing some of that with peer railroads. That's just part of the normal course of business when we face significant traffic disruption.
Ravi Shanker: Okay. I can follow-up offline. Thanks so much. 
Operator: The next question is from the line of David Vernon with AllianceBernstein. Please proceed with your question.
David Vernon: Hi. Good morning, guys. So, Jim and Rob maybe a question for you guys on the redeployment of some of the existing CapEx, since sort of capacity producing initiative as you're pushing some of the CapEx from Brazos and extending sidings in the Sunset. Jim, are there areas that you see additional work needing to be done to sort of unleash further productivity? Can you give us a sense for how much runway there might be here not to just change the scheduling and the operations, but also to change the physical plant a little bit? I guess, the real question here is, how constrained are you by the setup of the existing network right now and when do those constraints lift?
A –Jim Vena: David, good question. So I think we've got a great network. I think we have -- we can operate in a real very fluid manner. As we implement PSR, we actually get more capacity. So we're going to spend capital only in places where it allows us to be more efficient than we are today and deliver a better product to our customers. So with this whole -- at the end of the day when we're done with this PSR, done meaning that we've got most of it implemented, because it's a continuous view. We want to be able to give our customers the best service so that they can compete in the marketplace against everybody else and we win and they win. And that's what we want to build. So this is not -- I don't feel constrained anywhere, but down the Sunset there was an opportunity for us to be able to improve our service to our customers, to be able to be more efficient ourselves. We can get into Chicago quicker if we can. All the better. We're real strong in Texas. We want to continue that and we want to build on that. So our customer wins, they win more business we win. So that's what's it all about.
David Vernon: And then maybe as you come out of that process, as you think about -- in your prior experience as far as kind of the way capital is deployed the management at MOW function, when you come out of this thing, where do you think the long run CapEx isn't coming? I know you guys have been saying sort of sub-15%, but with a layer mix of traffic kind of running over the network could it be -- can you help us understand kind of how below 15% that long-term CapEx number could be?
Lance Fritz: Rob, would you handle that for us please?
Rob Knight: Yes. David I'll just reiterate what you heard us say and by the way we're very proud of the effort that has been under way for several years to get us to the -- where we are today in terms of a sub-15% of our revenue in terms of a confidence level of our ability to spend capital where the returns are there and still be at that 15% or lower number. That's a pretty good progress. So I would just say that, we totally understand the value and the impact of capital dollars both on the positive side in terms of investing where growth and opportunity and returns are there, but also on the cash side of being as disciplined as we can and not spending capital where we don't need to spend and freeing up capital dollars where we can. We're all about that. But at this point in time, our guidance remains 15% or less of revenue under capital spending and a lot more to play out as you've heard from Jim all morning today, as he looks at different opportunities going forward.
David Vernon: So there's no sort of commentary on whether the PSR or post-PSR world would be even better than sub-15% number or...?
Rob Knight: At this point no.
David Vernon: Okay. Thank you.
Operator: The next question is from the line of Walter Spracklin with RBC Capital Markets. Please proceed with your question.
Walter Spracklin: Yeah. Thanks very much. Good morning everyone. Kenny, I'd like to come back on international intermodal. You obviously had a very nice increase year-over-year and you called out some business wins. Can you give us a sense of the timing of those wins? And how much left of the comp spaces that that's going to drive? And if there's any -- when you look at your pipeline of what might be coming up, do you feel good about any upcoming potential new business wins that will allow you to keep growth going forward?
Kenny Rocker: Yes. So we lap those here within the next couple of quarters -- next couple of months here. And yes, I do feel very bullish about the pipeline that's out there our business development pipeline. And as I've stated, the beauty of what we're seeing with this more reliable service products, we saw that before the floods is that it opens up rail-centric market for us. And as we get more confident, we're expecting that to open up truck-centric type opportunity. But we've got a good cadence of opportunities that we can compete on and we just want to make sure that we can win those at the appropriate levels for us.
Walter Spracklin: When you look at the pricing environment, you're kicking up nicely every quarter it seems. And I just wanted to understand if that's due to some of the prior weakness or lower trucking or higher trucking prices and therefore may slow? Or is it more of a better rail pricing environment than what you've seen previously? I just want to get a handle on how much more pricing trends we can anticipate? Or do we start to see it dip down as pricing in the trucking market starts to come back down a bit?
Kenny Rocker: Yes. So we -- you're right we saw a stronger pricing environment during the second half of last year. I'll tell you this year, we are seeing some softness in the spot market. So we still think that the overall contractual truck market is a stable market. I'll call that stable. So the expectation really is that the commercial team they're just going to price to the market that's out there and we're expecting that a more reliable service product will also help us in that.
Walter Spracklin: Okay. That makes a lot of sense. And just a housekeeping if I may. The tax rate that you called out there just north of 23%. You indicated that Q2 might be a little lumpy. Do you have a guidance for the Q2 tax rate relative to the full year tax rate that you guided?
Rob Knight: No. Other than Walter I did call out the $21 million Arkansas item that will show up in the second quarter. So that will show up in the second quarter and the full year as lower rate than what we previously were projecting based on that and the impact of equity exercise of options on our tax rate.
Walter Spracklin: And should we use $24 million longer term, which is was what you kind of guided to before these kind of lumpy items. Is that in a good number for...
Rob Knight: Beyond 2019, that's probably a reasonable assumption.
Walter Spracklin: Perfect. Thank you very much.
Operator: The next question is from the line of Tyler Brown with Raymond James. Please proceed with your questions.
Tyler Brown: Hey, good morning. Just one question here. So the IMCs has had a strong call it 12 months on the pricing front. Your competitor is obviously in discussion with their IMCs. You got a 55 OR goal and I would be presumptuous, but I would say intermodal is going to play a significant role in achieving that. So my question is, why don't you guys push harder on domestic intermodal price to really catch up with what the IMC saw? Or is it that you're under some multi-year contracts with the IMCs and we could see that maybe when those contracts reset or am I missing something altogether?
Kenny Rocker: Yes. What I'd say is that you've see our price come up sequentially. I get -- I have a guess that I can see how we're pricing this business and we are pleased that we're pricing to the market. I won't go into any details on how we're differentiating the pricing instead of our domestic versus our international intermodal business. But I can tell you that as the market shows out, we price to that market. And I'll continue to say that as we get our service product more reliable and also in our intermodal network that we'll expect that we'll be able to price accordingly.
Tyler Brown: All right. Thank you.
Operator: The next question is from the line of Fadi Chamoun with BMO. Please proceed with your questions.
Fadi Chamoun: Good morning. And thank you for squeezing me in here. Just one lingering question for Jim. Jim, when I look at the kind of classification assets relative to the size of the manifest network of Union Pacific and compare it to some of the other railroad the Canadian railroad, -- kind of -- the other railroad that implemented PSR. You still have significantly larger classification and network relative to the other railroad with PSR. So is there a specific reason why maybe because of mix or other issues, you would have that larger classification network? Or is it fair for us to kind of interpret that as a potentially long-term strong opportunity for rationalization?
A –Jim Vena: Fadi, it's a good question. Every railroad is different and intermittently knowledgeable of one another okay to the point where I understand how the setup is. So we have to be careful in that -- a hump yard there is nothing wrong with a hump yard. It's the most efficient way to handle 1,800, 2,000 cars a day. There is nothing better. It's low cost. It works well. So if the business is such that you need it, it would be remiss to start pulling around by moving cars to other places. My focus is you take the touch points out. You go longer haul trains. You have trains that can handle more cars. And if we need a hump yard, then we put it in place. I think there's opportunity, but never judge one railroad over the other, because of the traffic mix and the kind of flow of traffic that we have. So I know how many CN has and I know how many of the other railroads have. And I can tell you that we will get to the point where we have just enough hump yards to handle the cars most efficiently. And it's -- in some places, it's more important for us to shut down multiple yards that we have in a city where we go down from three to two or to one. Just like we're looking at the intermodal that we mentioned in Chicago. We've got a number of work sites in there and we think, we can give our customers a better product by dropping and consolidating and be able to operate in a smoother manner in Chicago and give a better product to our customers and be more efficient. So that's what's it's all about Fadi. Hopefully I explained it.
Q – Fadi Chamoun: That's great. And maybe one close follow-up, so you've talked in the past about trying to remove the level of maybe a customization that has been built over time and inherited this manifest network. Is this process still ongoing? Or have you changed the service and the design of the service to the point where that's becoming more active I guess?
A – Lance Fritz: Fadi, this is Lance. Yes, that process is still under way. So if you go back, the way we would describe the network prior to Unified Plan 2020 was, really an accumulation of unique train service designs. Automotive network and a coal network and a grain network and an ethanol network and rock network and et cetera et cetera. As the first phase of Unified Plan 2020 happened, we consolidated a number of those unique services into manifest service, so that a train was handling more than one type of commodity. There's still work to be done there. There's still plenty of opportunity to be done there. And at the same time Fadi, there are still going to be parts of our network that are specialized unique trains. For instance, the coal network makes all the sense in the world. In most cases to remain in a unit shuttle train network, as do green shuttles, as do some of our rock network. But we have just taken that too far I think in our previous design and we've unwound a good part of it and there's still more to be done.
Q – Fadi Chamoun: Thank you.
Operator: The next question is from the line of Cherilyn Radbourne with TD Securities. Please proceed with your question.
Q – Cherilyn Radbourne: Thanks very much and good morning. It has been a long call. So I thought I just ask one on the 7% increase in train lengths. Just wondering, if you can give a bit of color on where that was achieved in the network either by line of business or by geography and talk about how much higher you're able to take that based on the current siding infrastructure?
A – Jim Vena: Well we do it across the company. Actually, we did in our east-west northern flow from the West Coast all the way to Chicago. We did it on the Sunset. We were able to do it on the mid-America north-south from Texas up to Chicago and up into Minnesota. And we also were able to do some of it and we're just starting there on our bulk capability. We think there's capability to be able to operate those trains in a much more efficient manner. So we'll continue to do it, Cherilyn. So it was spread out through the whole company.
A – Lance Fritz: Yes. And Cherilyn, in terms of what's feasible? You're exactly right. Different routes on the network have different train length capability, but there's -- that's not a hard and fast rule, right? We've talked historically about -- it's about where can you meet and pass traffic? And that doesn't mean every train on that corridor has to be built to the length of the sightings. You can always dictate that some of the traffic exceeds siding length and that means the pass for -- the opposing train has to take the siding. So there's a lot of moving parts there. We've got plenty of upside from where we are right now.
Q – Cherilyn Radbourne: Great. And maybe just as a quick follow-up. Would that 7400-foot train lengths achieved their mark would that be a record for the company?
A – Lance Fritz: I don't know. We'd have to look at that.
A – Jim Vena: I wish it was because I have records. But Cherilyn, we'd be guessing. So -- but if there is a record better than that Cherilyn, I want to go by it.
Q – Cherilyn Radbourne: All right. Thank you. That’s all from me.
Operator: The next question is from the line of Jason Seidl with Cowen & Company. Please proceed with your questions.
Q – Adam Kramer: Hey guys, this is Adam on for Jason. I guess I'll try and keep it quick here with just a single question for you guys. And this may be more for Jim. But I just want to ask about the challenges of implementing PSR at UP versus CN and taking a much longer outlook, much longer in terms of time. Is there anything that would inhibit similar outcomes over time at UP versus CN?
A – Lance Fritz: Hey Jim, would you also -- when we answer that question reflect on timing of implementing.
Q – Jim Vena: I think sometimes people forget that it took a while at CN to really get it moving and get it to the place where it became the most efficient railroad in North America. It wasn't a quick fix and go. And I think it was -- it took some time and lessons learned. There's some things you can do quicker, but you also don't want to impact your service to customers and lose a lot of business because of it. So I'm doing it and we're doing it as quick as we can. We think we have a great plan and we'll move ahead. What I found here at Union Pacific was -- it's a brand-new company. I didn't know a lot of people when I showed up. But I tell you the quality of the group right through the whole company and I've visited a lot of places. I flew into every one of the locations, major locations that we have in this company and I found people at the front line that want to be. There their goal is the same as my goal. They want to have the best operating efficiency in the industry. So when you start with that as a base, it's a wonderful place to be and it goes from the top to the bottom of the company and back up. So it's truly an exciting place to be.
Q – Jim Vena: Thanks Jim, appreciate the time.
A – Lance Fritz: You are welcome.
Operator: The next question is from the line of Ben Hartford with Baird. Please proceed with your question.
Q – Ben Hartford: Hello, thanks for taking the time. I just want to circle back on -- in international intermodal you included a question mark here in the slide and obviously you talked about the inventory overhang to start the year. As you think about international for the balance of the year and adding some of the uncertainty, due to the fact that inventories are a bit elevated? Or is it a bit more structural? And if we look at the west -- the port data in March East Coast were stronger than West. Is there something structural going on as it relates to diversion away from the west? Or is the uncertainty just due to the fact that inventory levels here at the beginning of the year are elevated?
A – Kenny Rocker: I think it's easy to forget that the -- hopefully have started back in 2018 and so -- and they carried all the way into 2019. So we're talking about a pretty long period of time here. So yes it is about the inventory levels. We do need to see how they work off. As I mentioned we'd have a lot more clarity as we get through April and May. Now on the second half of the year, we'll have tougher comps but we're expecting that a stable economy will still provide a positive number there.
Q – Ben Hartford: Okay. And maybe this is as a follow-up on the domestic intermodal side for you and Jim as well. As you think about domestic intermodal, I think you talked about pricing to the market, but also helping that -- or hoping that a more reliable service product would help that sales the value proposition. As you think about the next three to five years as PSR takes hold, the market is going to do what it's going to do. Spot pricing was weak. But as you think about the conversion opportunity over the road, over the next several years that was removed as -- on this outlook supply as well. How do you see the domestic intermodal conversion opportunity stripping out sterilizing some of the cyclical noise right now? As you get service where it needs to be is this still a product that can grow at a multiple of US underlying let's say U.S., IP or GDP growth?
A – Kenny Rocker: Yes. So I've stated in my comments and I reiterated. I'm bullish. We're bullish on the fact that there is upside on the domestic intermodal business and yes a more reliable service product will help us out there. And I got to emphasize this, as we're talking about it. Also in our manifest business, there's still a room for us to grow in our rail-centric business. And for us to capture manifest business that's moving truck. So it's not just domestic intermodal piece we're bullish across-the-board here.
Q – Ben Hartford: Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to turn the floor back over to Mr. Lance Fritz for closing comments.
Lance Fritz: Thank you very much Rob and thank you all for your questions. We're looking forward to talking with you again in July.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.